Operator: Ladies and gentlemen, thank you for standing by. Welcome to the FNF 2015 Second Quarter Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to our host, Mr. Dan Murphy. Please go ahead.
Daniel Murphy: Thank you, and good morning, everyone, and thanks for joining us for our second quarter 2015 earnings conference call. Joining me today are our Chairman, Bill Foley; CEO, Randy Quirk; President, Brent Bickett; and CFO, Tony Park. We’ll begin with a brief strategic overview from Bill. Randy will then review the title business and Tony will finish with a review of the financial highlights. We’ll then open the call up to your questions and finish with some concluding remarks from Bill Foley. Please note that we are only focused on FNF on this call and we’ll have a separate FNFV call at noon Eastern Time today. This conference call may contain forward-looking statements that involve a number of risks and uncertainties. Statements that are not historical facts, including statements about our expectations, hopes, intentions or strategies regarding the future are forward-looking statements. Forward-looking statements are based on management’s beliefs as well as assumptions made by, and information currently available to, management. Because such statements are based on expectations as to future financial and operating results and are not statements of fact, actual results may differ materially from those projected. We undertake no obligation to update any forward-looking statements whether as a result of new information, future events or otherwise. The risks and uncertainties which forward-looking statements are subject to include, but are not limited to, the risks and other factors detailed in our press release dated yesterday, and in the statement regarding forward-looking information, risk factors and other sections of the company’s Form 10-K and other filings with the SEC. This conference call will be available for replay via webcast at fnf.com. It will also be available through phone replay beginning at 1:00 PM Eastern Time today through August 6. The replay number is 800-475-6701 and the access code is 362665. Let me now turn the call over to our Chairman, Bill Foley.
William Foley: Thanks, Dan. Also with us today, we have Tom Sanzone, the CEO of Black Knight Financial Services, sitting on in this call. In the second quarter, we generated 16.2% adjusted pre-tax title margin in a strong commercial environment and a steadily improving residential real estate market. The performance of our title business this quarter is further confidence that we can continue to generate pre-tax title margin in the 15% to 20% range as we experience further strength in the residential purchase market. We remain the most profitable title insurance company in the country and believe that our financial performance should warrant a premium market multiple versus our title company peers. Black Knight continues to perform to our high expectations, generating 7% adjusted revenue growth and a 43.5% adjusted EBITDA margin in the second quarter. We completed the Black Knight IPO in May and look forward to FNF shareholders sharing in the benefit of Black Knight trading as a standalone public company. In conjunction with the IPO, Black Knight repaid FNF $1.5 billion in intercompany and Mirror Notes and FNF utilized $1.1 billion of those proceeds to fully repay the term loan that was borrowed in conjunction with the January 2014 LPS acquisition. Additionally, we referred just 1.3 million shares of FNF common stock between June 1st and the first week of July for a total of approximately $48 million and we expect to continue repurchasing FNF shares throughout the remainder of 2015 under the new three-year, 25 million share - stock repurchase authorization. It was approved by our board and publicly announced last week Finally, our board approved and we announced a 10.5% increase in our dividend last week to $0.21 per quarter. As we continue to look at the combination of cash dividend and share repurchase as good uses of excess cash and sources of shareholder value creation. I’ll now turn the call over to Randy Quirk to discuss the title insurance business.
Raymond Quirk: Thank you, Bill. The second quarter was a great quarter for our title insurance business. We are very proud to report a 16.2% pre-tax margin. However, that statement is the extent of our celebration as we are focusing on continuing to maximize the profitability of our title operations every single day. For the second quarter, total open orders averaged approximately 8,750 per day with April at 9,200, May at 8,700, and June at 8,400. As refinance orders opened declined each month during the second quarter. Of the 8,750 total open orders, approximately 7,200 were at FNTG and 1,600 were at ServiceLink. Purchase orders opened in the second quarter increased by approximately 7%. And closed purchase orders increased by more than 12%, more than offsetting the declines in refinance orders opened and closed. The mix towards purchase transactions increased each month in the quarter. And 53% of April open orders were purchase related. 58% of May orders, and 61% of June orders were purchase related. Additionally, FNTG opened purchase orders which exclude ServiceLink, increased 7.4% over the second quarter of 2014, moving from 61% of total open orders in April to 65% in May and 68% in June. In the first three weeks of July, total open orders per day averaged 8,100 and FNTG purchase related open orders grew by 9% over July of 2014. We had another strong quarter in our commercial business, generating 258 million in total commercial revenue, a 41% increase over the second quarter of 2014. As we only began tracking total local commercial orders and fee per file in January of 2015, we are not able to compare those total metrics to the prior year. However, national commercial revenue of $150 million increased by 30%, as the fee per file grew by 22% and closed orders increased by 6%. The commercial title market continues to perform extremely well. The total fee per file of 2026 increased by 2% versus the second quarter of 2014. As the increase of purchase orders opened turn to closings, we expect to see a further benefit in the fee per file. At FNTG, the fee per file grew by 2% over the prior year despite purchase orders representing only 61% of closed orders this quarter versus 71% in the second quarter of 2014. With the mix shift to open purchase orders and the increase in closed orders, we did have to head count at FNTG during the second quarter. We increased FNTG head count by approximately 490 positions while ServiceLink head count was essentially flat. As always, we will continue to monitor order and staffing metrics to maximize profitability in our title business. Let me now turn the call over to Tony Park to review the financial highlights.
Anthony Park: Thank you, Randy. We generated nearly $2 billion in revenue in the second quarter with title generating approximately $1.7 billion in total revenue and Black Knight contributing $232 million in total revenue. Adjusted net earnings were $187 million, or $0.65 per diluted share. The title segment generated more than $1.7 billion in total revenue for the second quarter, a 21% increase over the second quarter of 2014. Direct title premiums, increased 26% while agency premiums increased by 15%, personnel costs increased by 15%, less than the 21% increase in direct title premiums. Other operating expenses increased by 22%, primarily driven by $45 million in referral expenses related to real estate brokerage operation that FNF acquired in late 2014. This operation also contributed approximately $57 million to the escrow and other revenue line. Excluding the referral fees, other operating expenses increased by 9% versus the second quarter of 2014. The net result was a pre-tax title margin of 16.2%. ServiceLink produced revenue of $224 million, adjusted EBITDA of $34 million and adjusted EBITDA margin of 15%, adjusted pre-tax earnings of $29 million, and an adjusted pre-tax margin of 13%. ServiceLink continues to manage its cost structure to maximize profitability in response to the lower refinance and default volumes and seek revenue streams that are more related to residential purchase transaction. Black Knight generated second quarter adjusted revenue of $235 million and adjusted EBITDA of $102 million and adjusted EBITDA margin of 43.5%. FNF group debt outstanding declined to $2.6 billion. As bill mentioned, we repaid the $1.1 billion term loan in May. Black Knight now has approximately $1.6 billion in third-party debt, which is consolidated on FNF’s balance sheet for financial statement purposes. Our debt to capital ratio, on a consolidated basis, was approximately 28% at June 30th. As we continue to move toward attaining a 25% consolidated debt to cap ratio at year end 2015. Total title claims paid were $70 million during the second quarter, the decrease of $9 million or 11% from the second quarter of 2014. Total claims paid were nearly equal to the second quarter claims, loss expense of $69 million. The first time we have achieved this parody in many years. We continue to expect 2015 full year claims paid to be below $300 million. Finally, our FNF group investment portfolio totaled approximately $5 million at June 30th. From a regulated standpoint, we have approximately $1.7 billion in statutory reserves, $1.6 billion in regulated cash and investments, and approximately $800 million in secured trust deposits for a total of approximately $4.1 billion regulated cash and investments. From an unregulated perspective, we have approximately $500 million of unregulated cash at FNF Group as of June 30th. There is also approximately $175 million in consolidated cash and investments at Black Knight and ServiceLink and approximately $100 million in cash at subsidiaries, both of which are restricted by minimum working capital, other regulatory requirements or to let those businesses run themselves autonomously. Let me now turn the call back to our operator to allow for any questions.
Operator: Thank you. [Operating Instruction] We’ll first go to the line of Mark DeVries.
Mark DeVries: Yeah, thanks. I was hoping to get some sense of the pace at which we could expect you to be buying back your stock here. Would you consider an ASR or are you just going to be buying periodically in the market.
Raymond Quirk: Well, we started the program after we closed the Black Knight IPO and as we mentioned to repurchase 1.3 million shares during the month of June and first week of July. We then entered black-out period due to earnings being released and - obviously today or yesterday. So we would expect that kind of pace to continue, but we want to be opportunistic. We also want to be cognizant of our cash flow. Our cash flow is terrific. We are doing very, very well, 278 million or so in the second quarter. So we have the resources to accelerate the stock repurchase program. The only caveat, I would say, is we do want to also continue to look at our dividend and to return shareholder value. And at our last Board Meeting, we had a consensus that FNT should start examining various acquisition opportunities a little more aggressively going forward in terms of various states and municipalities where we may be under - have less than our typical market share. And so that will also be a use of funds. So you can certainly expect to see the same sort of pace that we had during the month of June. And depending on cash flow, and depending on uses of cash, that pace could accelerate.
Mark DeVries: Okay. Should we expect that the $25 million authorization over three years. Is that kind of a limit on how much you would do or could you conceivably go through that before the end of the three years and go back to the Board for another authorization?
Raymond Quirk: Absolutely. We’ve moved through that 25 million share authorization, we would go right back to the Board and get another 25 million shares authorized. What we’ve generally have done is authorized a number of shares to be repurchased as opposed to the dollar amount that we are going to spend on stock. And so - and the Board is very supportive of continuing to shrink our stock base and we said for years and years that we just feel with all the acquisitions we’ve done, we just have too many shares outstanding and we want to reduce those shares. It’s a long process. But now that we have no longer have some of the distractions with the FNFV assets and title - and FNF is really a former pure-played title insurance company with its independent subsidiary Black Knight. It allows us to start getting that share count down.
Mark DeVries: Okay, great. And just one more question for me. I appreciate that you’ve indicated that you’d like to hold on to BKFS indefinitely. But I’m sure, Bill, you also appreciate that the market does not seem to be valuing very efficiently here. By our map, if you kind of use the fair value of what BKFS is trading, it seems like you’re trading at a big discount to your peers here. At what point, do you kind of lose patients with the market and just consider dividending out all the shares to your FNF shareholders?
William Foley: Yeah. We’re going to stay the course for the time being. We never say never about anything. As you’ve seen in our past activities, we’ve spun off companies. We’ve repurchased companies. We have taken companies public. The one thing I would say about BKFS, the company has - and Thomas here - the company has done an excellent job of cross-selling these various products and services to really grow its revenue base and to grow its EBITDA margin. One of our next goals is going to start cross-selling some of our title insurance products into BKFS and let them sell those products into some of our larger customers. And so we’d like to give that activity a fair chance and a fair shot to see how we can do another level of cross-selling. So, for the time being, Black Knight is part of FNF, but we always look to maximize shareholder value.
Mark DeVries: Okay. I appreciate the comments.
Operator: Thank you. We’ll go to the line of Eric Beardsley.
Eric Beardsley: Hi. Thank you. I just had a question about the corporate expense. It seemed like it was a little bit elevated this quarter. And, I guess, when could we expect to see that interest expense come down or were there any timing issues there or were there any one-time items to call out?
Raymond Quirk: Yeah. The interest expense does come down a little bit. As we mentioned, we repaid the $1.1 billion term loan at FNF during the quarter. So that will come down from where it is now. In terms of the expenses, we have a lot running through the FNF corporate segment, as I’m sure you know. We have intercompany and mirror notes with ServiceLink and also with Black Knight. Of course, Black Knights are now gone but ServiceLink’s are still there, and Black Knight was there for part of it. So we’re running interest expenses as well as interest income through that segment but also the eliminations of those. So sometimes the numbers look a little skewed. I think your best measure is probably just looking at adjusted pre-tax earnings of roughly $30 million. It’s $32 million this quarter. I think it was $33 million in the year-over-year comparison. So that’s a pretty good run rate for our corporate bottom line.
Eric Beardsley: Got it. That’s a negative pre-tax.
Raymond Quirk: That’s correct.
Eric Beardsley: Okay. Got it. And then, just on the cash flow, the $289 million of cash flow that you disclosed for the Group - how much of that would you say would be available to common shareholders versus being regulated?
Raymond Quirk: Yeah. Maybe, I’ll answer it this way because, as you know, some of it gets locked up into our insurance subsidiaries, and then it becomes available the following year based on statutory net income from the insurance companies. A good chunk, though, of our cash flow actually comes from non-regulated companies, and that’s available immediately. We mentioned we have about $500 million of cash flow at the parent - I’m sorry - of cash at the parent company currently. We also have roughly $230 million of dividend capacity for the remainder of the year out of our insurance companies, and then we have non-underwriter dividend capacity which is more difficult to estimate, but it’s probably maybe 50%, maybe more of what we can take from the underwriters. And then uses of that are about $30 million in interest expense and our common dividend which will be about a 120 million for the last six months of the year. So, that kind of gives you an idea of the cash we have available.
Eric Beardsley: Got it. And then just lastly back to the point on Black Knight, I mean would you just consider reducing your interest to minority level to deconsolidate? And would it simply require you selling down below 50% or is there an additional level based on your board positions you need to show less control?
Raymond Quirk: If we were to sell down, it would have to be well below 50% because our Board control. I would think that the most likely candidate for increasing the available shares to - for investors of Black Knight is a THL position. And as you know, they are a financial sponsor. They had a great return on the Black Knight and on the Black Knight Investment, and inevitably, we will - I will get a call from one of their managing partners advising us to they’d be now interested in disposing some shares in Black Knight and they’ll put them in the market. And that’s the most likely source to increase third-party shareholding - shareholdings with Black Knight through the immediate future.
Eric Beardsley: Got it. Thank you.
Operator: Thank you. We’ll go to the line of Bose George.
Bose George: Good morning. First a question just on a commercial fee per file obviously this is extremely strong. What do you think the outlook for that is from the back half of the year?
Raymond Quirk: You’re correct; it was really strong running out there close to $12,000 per deal at the back end of the quarter. It can still come up. We had a lot of - we had several good commercial closings in the second quarter as we did in the first, but probably more so on the second quarter. So, that’s hitting a pretty high market at this point. There is some room for growth, but it just really depends on the type of transactions you can close in any given quarter.
Bose George: Okay.
Raymond Quirk: The strongest commercial quarter is always the fourth quarter. That’s when the investors want to refi, they want to sell, and you can look for fourth quarter to be a really strong quarter.
Bose George: But just in terms of the fee per file. Upside from here might be challenging just given how strong it was, is that fair?
Raymond Quirk: No, that’s not going to be challenging at all. We’re continuing to garner larger deals; many more deals of the fee per file should keep on growing. The back half of the year looks very good. We’ve got strong momentum going into the third quarter with an uptick in the opening of the commercial order in closing. Our national commercial centers are very strong. They’re seeing an activity in all markets; retail, energy, industrial, multisite, multistate. And then our local commercial actually has increased significantly also over the last six months. So, we see a very strong back half of the year. The effect on the fee per file there still remains to be seen. But we’re very optimistic on the commercial market.
Bose George: Okay, great. That’s helpful. Thanks. And then if you just switching to ServiceLink. Can you just talk about the outlook for the margin that business with refi falling?
Raymond Quirk: Well, as the refi is falling ServiceLink, of course, we make expense reductions. They follow the same metrics we do in the title group based on the open and closed orders per employee. And so you just see some softening in the refinance just as rule for the general market. We are seeing some growth and some opportunities, it is on the default side, the REO side, which represents about 20% to 25% of their volume. So we’re looking at that - any fall off in volume will have a corresponding fall off in expenses and then we see some growth opportunities as we move through some of these other business units.
Bose George: Okay. Great. Thanks.
Operator: Thank you. We’ll go to the line of John Campbell.
John Campbell: Hey, guys. Good morning. Randy, just two quick questions for you. Just back to commercial, I don’t know if you guys have this type of granularity in the order book. But any sense for what the breakout of purchase versus refi was in just commercial closed orders. I don’t think your competitors track that, but I don’t know if you guys do.
Raymond Quirk: Yes, we are doing that information. And we are seeing it - pretty much we’re seeing even in the residential. So it’s about 60-40 mix to the purchase side currently.
John Campbell: Got it. That’s helpful. And then I might have missed this, but any color on just the residential open and closed orders kind of how they are tracking through July.
Raymond Quirk: Yeah, there are - we’re holding well in July in the first three weeks in July. We were running about 8,100 orders per day. So we are - again, the refinance has softened, but our residential has been strong really for about the last four months. And if you take the last six weeks, it’s been very consistent.
John Campbell: Got it. Just one more here. Tony, on the 57 million or so of the escrow and other rev, I think you said that was from the acquired insurance business. What type of pre-tax margin is that business running at?
Anthony Park: Currently, it’s below 10%. It’s a new - it’s a business we own the minority stake in until the end of 2014 when we took a controlling interest and that operation improved a lot in the second quarter up against the first. It’s not an insurance business. It’s a real estate brokerage business. But we expect those margins to improve. So at this point, it did depress the title margin a little bit in the quarter.
John Campbell: Got it. And just as a whole, I think the escrow and other rev accelerated a little bit faster than we were expecting. Is there a way to breakout or can you kind of bucket what that all-in margin is just for that escrow and other rev?
Anthony Park: You know, there are a lot of pieces to that. Obviously, the escrow piece is part of our title business and then we have a bunch of other businesses including in ServiceLink we have appraisal. We have yield services and some default businesses. We have home warranty in there. A lot of different pieces. So it would be hard to give you a target for a specific pre-tax margin on just that revenue line item.
John Campbell: Would it be fair to say that is probably running at a lower margin than the overall title business?
Anthony Park: Yes.
John Campbell: Got it. Thank you.
Operator: Thank you. We’ll go to the line of Geoffrey Dunn.
Geoffrey Dunn: Thank you. Good morning.
Raymond Quirk: Good morning.
Geoffrey Dunn: Bill, you mentioned the possibility for acquisitions in title. Are we talking buying agencies out there? Are you looking more on complimentary services? Which way is the board biased?
William Foley: Our initial target is going to be agency operations in various locations, primarily in the west, where we know we have management teams in place to run those businesses and where we might be a little under penetrated in the market, and those are areas such as Oregon, Washington, Idaho, Nevada, some in Texas, even some in California. Then there are also complimentary businesses that we’re interested. We’re very impressed with our real estate brokerage operation that we have now gained majority interest in the company called Pacific Union in the Bay Area. It works very, very well. So we are giving Pacific Union some resources to expand the real estate brokerage business. And we’re looking at other opportunities in real estate brokerage. So over the last several years we have been kind of in a non-acquisition mode. We had Black Knight and ServiceLink that we were working our way through. At this point with Black Knight being a public company, with ServiceLink almost an 80% owner subsidiary of FNF, we can now move on. We have terrific cash flow and resources, so it’s good timing for us to start looking at other opportunities.
Geoffrey Dunn: Okay. And as I think about that as I relate it to buy back, I know you always look to optimize returns, and I remember you were talking about buying when we had 180 million shares outstanding too. Are those deals that are going to be done at the title operating company level and leaving plenty of dividend capacity to keep funding buyback as well or could we see a situation where just the opportunity is out there, overshadowed the buyback over the next quarter or two and we’re back to a deal mentality?
William Foley: The buyback is in place. We committed to that as part of the Black Knight IPO and so that buyback is a very important use of capital for us to start reducing our share count. And most of these acquisitions would fall within the title insurance company umbrella so they would be using title insurance company funds to execute those purchases.
Geoffrey Dunn: Great, thank you.
Operator: Thank you. We’ll go to the line of Jason Deleeuw.
Jason Deleeuw: Thank you, and good morning. The margins were good in quarter. 16.2% in title. You guys have the 15% to 20% targets and I believe you guys were targeting around 15% for this quarter, so we had a little bit of over performance. So can you just kind of help us understand what kind of draws maybe some of the over performance in margins this quarter? And then also when we think about that 15% to 20% range that you are targeting, what are the key drivers that would get us to 20% verses at 15%. Is it just simply the size of the origination market?
Raymond Quirk: Sure. I’ll take at least a part of that one. It really took place in the second quarter. And it turned out to be better than what we test really expect it to be projected was the strong commercial performance. And also the mix of the closing is going over from the refinance side over to the purchase market. We were opening up in the second quarter. I believe 68% of purchase and closing is about 63%. So that obviously pushes up your fee for file. So those were those two drivers in the second quarter. As we go into the third quarter, and as you know, the numbers all go back to zero again so we’re going to push for that 15% target. That we have been very consistent with, but again, it will be purchase closings which we are very confident in. The continuing performance on the opening side with purchases, and of course, the commercial revenue being driven into the third quarter and actually commercial being driven into the fourth quarter.
Jason Deleeuw: Got it. And when we think longer term is 15% to 20% target. Is it simply to get to 20% we just need more origination volume, a bigger market or can you...?
Raymond Quirk: Yeah. A bigger market would help. As you know, we have a pretty good footprint nationally with our multi-brands. We have our facility expenses so we got the network. So if we got a larger we can play on those fixed expenses and improve the margins based on that increased size of the market.
Jason Deleeuw: Got it. And then on the acquisitions, are there - what’s the criteria that FNF has when they are evaluating acquisitions? You have like ROE target or margin targets, what are your targets when you are looking at acquisitions?
Raymond Quirk: When we actually start looking at it, we acquire companies. Normally, we buy them at EBITDA multiple between three and five. So they are pretty good value purchases. And we try and achieve a 20% pre-tax margin of those acquisitions. And usually you can exceed that because the acquisitions will have synergy opportunity for us. If they are an independent agent that’s of decent size, then they generally speaking to have accounting staff and they may have legal staff, they have HR all of these things are things that we consolidate and we run right out of Jacksonville. So we have synergy opportunities plus we also have opportunities to refer more business into these companies that we would be acquiring due to our - the strength of our overall national network. So we just haven’t bought much in the last four or five years and we think there are some really good opportunities in various locations for us to really create a strong referral program, garner synergies, bring our operating methods there and really expand our market share, our national market share.
Jason Deleeuw: Thank you very much.
Operator: Thank you. We’ll go to the line of Kevin Kaczmarek.
Kevin Kaczmarek: Good morning, guys. On the - regarding the real estate brokerage operation you acquired, can you walk us through the strategic rationale behind that? I guess was it driven by recent regulations such as trade or is there something that makes a title company owning a real estate brokerage more attractive now?
Brent Bickett: Yes, this is Brent. I’ll take that question. We started on the Pacific union. We helped our operator there seed the company, and it’s grown beyond our expectations. The strategic rationale is really a competitive response in some ways to certain competitors, for example, like RealEC who is vertically integrated. And that’s more acute on the west where in certain brokerages that they own, our title people are effectively locked out. We still garner title revenue, but it’s more challenging to do that. So in response, we are very supportive of investing in and helping friends of Fidelity that can better compete against that type of a dynamic. And you’ll see us continue to do so.
Kevin Kaczmarek: Okay. And do you have a sense of how big it might get or how much market share you might get nationwide?
Brent Bickett: We’ll see. I mean, we have terrific relationships with owners of brokerage companies and - so we utilize our title footprint and our resources to find the best and the brightest and those are the types of people that we want to invest behind. Sometimes you’ll see it just take a minority stake and help these folks grow in new markets. It’s really more of that type of an angle. We’re not looking to - for any national market share targets. We’re just going to hope good operators grow in areas that we want to compete in.
Kevin Kaczmarek: Okay. And in terms of acquisitions, I guess what would be your interest or capacity in acquiring taking ServiceLink. What are some of the options you have there?
Raymond Quirk: Well, the contract really calls on a four-year foot call, so there is a lot of time left on that. As you might know we have intercompany debt at ServiceLink that is quite high, so we have been in conversations with THL about recapitalizing ServiceLink. And the end result of that, you’ll see FNF ownership increase from about 65% to just under 80%. We have not yet put out a release on that, but we think we’ll get this completed this quarter.
Kevin Kaczmarek: Great. Thanks a lot.
Operator: Thank you. We’ll go to the line of Chris Gamaitoni, Autonomous.
Chris Gamaitoni: Thanks for taking my call. Follow-up on ServiceLink, I was wondering if you would give us any color of the business trends that are going on outside of centralized title, you know [indiscernible] business, Field services. Just trying to look at kind of what this revenue are today and where you’re headed?
Raymond Quirk: Well, ServiceLink has the origination business that is been impacted by the life of revise and then increase in rate and so on. We’re emphasizing loan care. We’re working hard at growing loan care to be a much larger sub service. And we have some initiatives underway to partner with large owners of mortgage loans that maybe sub serviced by third parties other than loan care. So that is a growth vehicle. We’ve looked at various other ancillary product likes for ServiceLink and came close to being involved in a larger appraisal business that another company outbid us on. So we are looking to various national opportunities for ServiceLink whether it’s home inspection. It could be appraisals, property registration all kinds of things that would help grow that ServiceLink business. So that - again that’s part of our acquisition strategy. And as we go forward for the next several years.
Chris Gamaitoni: Is there any plan to provide a more detailed disclosure on those other units to attain service line, if you can give a better idea what’s going on year to year, quarter to quarter?
Raymond Quirk: We can look at that it’s not a significant part of our title segment, all ServiceLink, so at this point we’ve just kept it as part of the title segment and then broken out separately pre-tax and adjusted pre-tax and adjusted EBITDA. But we might be able to give you some larger pieces of revenue like field services revenue or appraisal revenues and it might help you understand the business a little better. I would encourage you to look at our Investor Day Presentation where we did give a detailed break-out of the ServiceLink business. And it’s various segment.
Chris Gamaitoni: And my one follow-up is you mentioned July open purchase orders were up 9%, I believe. It’s tracking on a mortgage-closed volume or existing home sales at 13%. It looks at the large tight operators are growing little more slow - more slowly. Would you attribute that to, is it more going to aging? Is it just something the number as I am just trying to wrap my head around the mix and the difference between these kind of, macro indicators and title purchase orders?
Raymond Quirk: It’s been very aggressive in terms of competing personnel. And we are on a very active program right now to grow our national market share and particularly grow it where we have direct operations. We also have a pretty aggressive program relative to our agency operations. So what you are seeing is just the initial phase of FNF, once again becoming aggressive and going out the marketplace and hiring people, opening offices, buying companies to get our market share up.
Chris Gamaitoni: That makes sense. Thank you so much.
Operator: Thank you. There is no additional questions in queue. [Operator Instructions]
William Foley: Well, thank you. Both our title businesses and Black Knight generate strong financial performance in the second quarter. We look forward to maximizing profitability from both businesses in the second half of 2015. Thanks for joining us this morning.
Operator: Thank you. Ladies and gentlemen, that does collude our conference for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.